Operator: Ladies and gentlemen, greetings and welcome to the Rumble Third Quarter Earnings Conference Call. At this time, all participants are in a listen-only mode. A brief question-and-answer session will follow the formal presentation. [Operator Instructions] As a reminder, this conference is being recorded. It is now my pleasure to introduce your host, Shannon Devine, Investor Relations for Rumble. Please go ahead.
Shannon Devine: Thank you, operator. I am here today with Chris Pavlovski, Founder, Chairman and CEO of Rumble; Brandon Alexandroff, our CFO; and Tyler Hughes, our COO. A press release detailing our third quarter results was released today and is available on the Investor Relations section of our Company's website. Before we begin the formal presentation, I'd like to remind everyone that statements made on the call and webcast may include predictions, estimates, or other information that might be considered for forward-looking. All forward-looking statements are made only as of the date of the webcast and should not be considered in conjunction with the cautionary statements in our earnings release and the risk factors included in our filings with the SEC. Future Company updates will be available via press releases and via Company's identified social media channels. I will now turn the call over to Rumble’s, Founder, Chairman, and CEO, Chris Pavlovski.
Chris Pavlovski: Thank you, Shannon. As many of you are aware, we recently completed our De-SPAC merging with Cantor Fitzgerald Acquisition Corp. VI or CFVI. I have been an entrepreneur bootstrapping businesses in this space for over 20 years and I'm excited to be speaking with you today as the Chairman and CEO, as well as the Founder of Rumble, the Public Company. I want to begin first with our mission. Rumble is on a mission to protect the free and open Internet to celebrate freedom, to support creative independence and authentic expression, to provide a form for diverse ideas, opinion and debate, to build technology immune to cancel culture, but make no mistake about it, protecting a free and open Internet is not easy. This means hard decisions. It can mean unpopular decisions, decisions that may not follow mainstream thinking, but that's precisely the point. There was a time when we celebrated freedom of expression, which led to amazing moments in our society, women's rights movements, civil rights movements, transformative sciences, the list goes on, but this is at risk of being stripped away from us, stripped away by Big Tech censorship and corporate agendas. Rumble will not stand for this. This is a fight for freedom. The mission is not a sticker on office walls next to slides in free food. This is the DNA of Rumble. This is our focus. This is our opportunity. Looking back at the founding year of Rumble in 2013, the concept preferencing was simple. It was big versus small. At that time, I noticed that YouTube was beginning to give preferences to large creators, influencers, multi-channel networks and brands, while leaving the small crater behind. So I founded Rumble based on the premise of providing small creator the tools and distribution they needed to succeed. Fast forward to 2020, we entered a new, much more nuanced world of preferencing, which included sophisticated algorithms used by Big Tech incumbents, amplification, and censorship. Most importantly, we never moved the goal posts on our content policies. This sparked a massive first wave of growth on Rumble and every day, more and more creators and their audiences find a new home on Rumble. How many more? Well, to put this movement into context, in the second quarter of 2020, we posted about 1 million average monthly active users. Today for the third quarter of 2022, we posted an average of 71 million monthly active users, that's 70x growth in just two years. Why? Because our community trusts that Rumble will stand by our mission, unlike Big Tech. Moving on to why I'm speaking to you today. This is the first time as a public company we are reporting quarterly results in our very first earnings call. The transaction that brought us to the public markets on December 1, 2021 was an announced merger with CFVI, a special purpose acquisition company or SPAC. Positioning Rumble for a successful capital raise was one catalyst to go public. The second was putting ourselves on an equal playing field as our public comps. If we are going to take on Big Tech, it was imperative to get the public behind us, and this included participation in the public markets. A bonus was the opportunity to allow our supporters to become co-owners of the company. One of the top inquiries we received prior to this announcement was how do I invest in Rumble? While the process took a bit longer than expected, we are encouraged by the successful business combination, and as part of this transaction and previously reported, we maintained nearly all of the cash and trust as part of the De-SPAC. Ultimately, 99.9% of CFVI shareholders elected not to redeem their shares, which is unprecedented in the current market environment and is a validation of Rumble support by the public markets. As a result, the De-SPAC provided Rumble with gross proceeds of $400 million prior to transaction expenses. We successfully completed the De-SPAC and began trading on the NASDAQ stock exchange September 16, 2022 under the symbol RUM. Moving forward, it is all about execution for Rumble. This execution is directly tied to our mission because the opportunities that fuel our growth strategy are all possible today because of our principles. In our S-4 filing with the SEC, we explained our growth strategy. I would now like to walk you through how we have executed against each of the main pillars described in that document with a focus on the third quarter results. First, content acquisition, a critical piece of our growth strategy. The objective here is to grow and diversify our content by onboarding major creators in new content verticals and thus attracting new audiences to drive user growth and engagement, while our initial wave of growth was primarily from the conservative community, today, we are clearly expanding beyond conservative politics and attracting new audiences through agreements where we provide incentives to major content creators who will produce exclusive content for Rumble. Most recently, Q3 2022, we announced Rumble Exclusives, which include two significant signings, comedian and actor Russell Brand and Pulitzer Prize-winning journalist Glenn Greenwald, both of whom will produce daily live shows on Rumble and Locals. We are really excited about this format where these creators will share their unfiltered perspectives on current events every day on Rumble and follow-up each show with a unique two-way Q&A style conversation on Locals. We also began to expand our audience to the Gen Z demographic by signing one of the most influential Gen Z personalities in the world, SteveWillDoIt, who moved to Rumble and Locals as this primary video platform. Finally, we are also excited about Viva Frei, an accomplished attorney and well-known Livestreamer who dropped YouTube and signed an exclusive deal with Rumble. These are great examples of how we are able to onboard mega influencers to enter new content verticals, attracting new creators and audiences. As we execute on our strategy, our content library continues to grow. In Q3, 2022, we are pleased to say we have increased our average hours of uploaded video per day to 8,796 hours from 2,746 hours in the third quarter of 2021, which is an increase of 220%. With new content on the platform, we continue to see the audience follow suit. In Q3 2022, as I mentioned, we posted an average monthly active user count of 71 million users globally, which has nearly double our 36 million users in the third quarter of 2021. 57 million of these 71 million users are based in the U.S. and Canada compared to 25 million users in U.S. and Canada in the third quarter of 2021. Meaning, we have a large opportunity to grow users in content via international expansion, and we see an uptick in users when large creators are onboarded onto the platform. In general, I believe the size of Rumble's North American users is one of the most valuable pieces of our business and also the most overlooked. Finally, on a year-over-year basis, our monthly average minutes watch performance indicator increased 14% to $9 billion. As a note, we expect that our three key operating metrics, monthly active users or MAUs average video hours uploaded per day and monthly average minutes watched to grow at a different rates as we continue to diversify our content and audience due to the different content types, viewing format preferences and varying attention spans between demographics. Another key piece of our growth strategy is product development. It is our goal to build market leading product across web, mobile apps and TV apps for Rumble and Locals. However, we recognize we have a lot of work to do. With the recent capital raise secured, we are now focused on scaling our product and engineering organizations to build up capacity. To date, a substantial portion of our resources has been devoted to building out the Rumble Advertising Center or RAC and Rumble's hosting infrastructure, both of which have made great progress on. But as a result of this focus and investment, we are not quite where we would like to be with Rumble's web, mobile and TV apps. We are encouraged by the initial feedback on our Rumble, iOS and Apple TV apps, which we launched earlier in the year, and we are now focused on rolling out this new UI/UX across all available formats, including the web and the remaining set of applications on mobile and TV. The more modern design is a big step forward for Rumble, and we will set the foundation for future releases as we ramp up our product to market leading quality.  In terms of Locals, we continue to make strides in what we believe to be the best subscription product on the market. In the third quarter of 2022, we significantly bolstered our creator toolkit on Locals with three new features. First, we launched an article publishing feature that offers a new way for creators to engage their community, while also allowing us to recruit new category of creators for Locals to drive subscription revenue. Second, we announced the full launch of Content+ for all communities, which offers another source of revenue for creators who wish to offer one-time content for purchase, such as documentaries, movies, and other on-demand content. Finally, we announced the launch of live tipping to all communities, which offers a third revenue stream for creators on Locals in addition to subscription and Content+. The third element of our growth strategy is to build an in-house advertising ecosystem. When we think about monetization on Rumble and Locals, we view it as a funnel. At the top of the funnel, we have Rumble where creators grow their fan base and we generate revenue from programmatic ads such as display and pre-rolls, sponsorships or host read ads, which we envision as the biggest bucket. And finally, tipping, at the bottom of this funnel is Locals where creators bring their super fans and we generate revenue from subscriptions, on-demand purchases and tipping. Building the tools for monetization of programmatic and host read ads will be a major focus for us as we move into 2023. Historically, we have used several third-party ad networks and ad exchanges to fill our ad inventory. By developing our own advertising marketplace and direct sales team, we can reduce value leakage to exchanges, expand our advertiser base and drive better monetization. We are excited to say that we have made tremendous progress on our new ad platform RAC. In Q3, we announced the beta launch of RAC for display advertising, which has gone extremely well in terms of system performance and initial advertiser demand. With video ads launched in October, the foundation for RAC will be established. As we continue to roll out the system and subsequent features for programmatic advertising, we will build the sales and marketing organization and look to ramp awareness and monetization of the platforms. In addition to traditional programmatic ads, we've also made significant strides with host read ads in Q3, which is reflected in the financials. This is a category we are very excited about. While we are in the infant stages of establishing this revenue stream, we have been building out host read ads as a product alongside banner in video display on RAC. In the future, we feel banner, video and sponsorships will provide advertisers with a compelling set of options to access and get in front of the Rumble community, a community that we think is extremely valuable. This leads me to our cloud opportunity. You may ask why enter this market? There are three key reasons. First, our mission, protecting a free and open internet doesn't happen at the application level. Like Rumble, it must happen at the infrastructure level. We all know what happened with Parler and AWS. Two, opportunity, businesses are very aware of what happened with Parler. We've had many unsolicited inquiries about Rumble Cloud and subsequent conversations. In general, we feel that businesses will seek cloud offerings immune from cancel culture in the same way that users and creators found Rumble for video. Three, competency, as a video company, we have enormous bandwidth in coding and storage requirements, and because of this, Rumble is an ideal vehicle for us to scale capacity and serve the market.  To-date, we have demonstrated our initial competency in this space by offering cloud services to the TRUTH Social platform. In Q3, we continued to make strides on our infrastructure and prepared to move Rumble and Locals fully onto Rumble Cloud. As we head into 2023, our focus will be to continue building out scale and enter our beta program where we refine the product and get ready for full commercial release. In terms of operations, when considering the infrastructure in businesses we have built, many people also fail to appreciate that we built this company on very little investment. Everything we've accomplished to this point of merger with CFVI has been on the heels of raising our first outside capital $50 million in 2021 of which we still had $33.5 million on our balance sheet as of June 30, 2022, the end of our last fiscal quarter prior to closing the merger with CFVI. As demonstrated by the current capital investments to-date, we have been able to accomplish so much on limited capital resources due to our innovative business model, our bootstrap investment mentality since inception and our ability to attract highly talented people with a mission-driven mindset. This is a framework we intend to hold on to as we continue to grow. Turning to our quarter's topline, we reported revenues of $11 million for the quarter, another company record, and this was largely driven by our ability to tap into advertiser potential sooner than anticipated and turn our focus towards monetization. That's more than a 430% increase when you compare this figure to $2.1 million for the same quarter a year-ago and 150% increase on a sequential basis. I will let Brandon touch more on our financial results shortly. To conclude, I believe our third quarter numbers speak for themselves. There has been so much doubt surrounding the audience of Rumble, and I hope today that one thing is evidence. Our audience is the opportunity here, the opportunity that others have turned their back on. We are beginning to monetize, and our third quarter revenues are early validation of the value of our audience, exceeding our growth expectations internally. Importantly, this growth was achieved with little capital deployment. This is just the beginning. At Rumble, we believe that our mission is opening doors to a new ecosystem with enormous potential. I'm excited to go through this next chapter together and build an amazing business. I don't want Rumble to lean in any direction. I want Rumble to be neutral as we expand on this opportunity. One thing is for certain, our mission creates an enormous opportunity for us. It does not limit us. I look forward to this journey with everyone here today, and I hope one thing is evident. We have made substantial progress executing our mission, and this is reflected directly in our third quarter results. We are well on our way to delivering on our commitments. I look forward to onboarding great talent to our platform, focusing on our monetization efforts and ultimately delivering value to our shareholders. With that, I'll turn the call over to our CFO, Brandon Alexandroff.
Brandon Alexandroff: Thanks, Chris. I'll take you through our financials at a high level before turning the call over to the operator for Q&A. As Chris mentioned, from a topline perspective, we reported quarterly revenues of $11.0 million for Q3 2022. This compares to $2.1 million a year-ago. While we expect revenues to continue to grow, revenue levels for the foreseeable future will remain somewhat unpredictable as we continue to build out our infrastructure and experiment with various monetization levers to support our topline growth. I want to caveat our topline growth by saying that there is still plenty of work ahead of us. As we boost our advertising platform capabilities, we expect our revenues to continue to be a bit unpredictable. This is largely the reason why we as a company do not provide topline revenue guidance and do not intend to provide financial projections of any sort in the near future. While we have expectations internally, we are mindful that as we grow the business and develop different monetization streams, we expect significant variability. Cost of revenues for the quarter were $7.4 million compared to $1.8 million a year-ago. As we grow, we expect our cost of revenues to increase. The year-over-year increase was primarily due to an increase in creator and publisher payments of $4.2 million as a result of higher advertising revenues and an increase in hosting expenses of $1.4 million due to higher consumption and costs associated with the growth in cloud and professional services. Moving through our expenses, G&A for the quarter was $2.5 million compared to $646,000 in the third quarter a year-ago, due to approximately $1 million in staffing-related costs and $1 million in additional administrative expenses consistent with increased costs associated with becoming a public company. We reported R&D expenses of $1.7 million for the three-month period, a year-over-year increase of $1.4 million, again due to an increase in staffing and administrative expenses. Looking at our sales and marketing expense, our third quarter reflected our initiatives and investment in content acquisition, resulting in the increase of $5.8 million due to a $4.9 million increase in costs related to incentivizing top content creators to promote and join our platform and roughly $1 million split between additional staffing costs and marketing and PR initiatives. As a result of the items I just reviewed, loss from operations for the third quarter of 2022 was $7.8 million compared to $1.6 million in the prior year. I will now speak to our cash position. Gross proceeds from the recently completed SPAC transaction were approximately $400 million, including approximately $300 million from cash held in trust, $83 million from the PIPE financing and $15 million from the forward purchase investment. As Chris mentioned, the De-SPAC provided the company with nearly all of the cash in trust due to total redemptions of 0.1%. Year-to-date costs associated with the transaction were $53.9 million. As a result of the transaction combined with cash on hand prior to the transaction as of September 30, 2022, we had $356.7 million of cash on our balance sheet. Also, to reiterate what Chris said earlier, a relatively small cash burn between raising our first rounds of external capital in 2021 $50 million and the end of Q2 2022, $33.5 million reflects our lean operating mentality. We will rigorously adhere to this mentality as we apply more resources to our growth opportunities. Lastly, before I turn the call over to the operator. To aid everyone's analysis, I'd like to give a high level overview of our share count as of September 30, 2022, which is featured in the press release. There are 375 million shares outstanding on an as converted basis, including approximately 279 million of common stock and approximately 96 million options with varying strike prices, warrants and restricted stock units. Of the 375 million shares outstanding on an as converted basis, 107 million have been placed in escrow and will be released upon the satisfactory of the earnout conditions. These share figures exclude approximately 106 million multiple voting shares held by our founder that do not have economic benefit. I'll now turn the call over to the operator to open up the line for questions.
Operator: Thank you. Ladies and gentlemen, at this time, we will be conducting a question-and-answer session. [Operator Instructions] Our first question comes from the line of Thomas Forte from D.A. Davidson. Please go ahead.
Thomas Forte: Great. So first, congrats Chris and team on the [de-spacking], very excited that Rumble is now public. I have a couple of questions. You talked about a lot of these during your prepared remarks. So first off, you've done an amazing job building a scaled audience in a very short period of time, so now we're looking at your efforts on monetization. You talked a lot about those efforts in your prepared remarks. So I guess the first question is, when you put together your advertising, e-commerce, your subscriptions, your tipping how are you thinking about essentially building things from scratch, creating new initiatives or leveraging kind of industry best practices? And is there any reason that when the efforts fully mature, your margin on those initiatives will be any different than those of your peers?
Chris Pavlovski: Thank you, Tom. This is Chris speaking. So when it comes to the monetization, I think that, our growth in the last quarter kind of speaks for itself and really kind of set things into motion for our team to really focus the monetization. We thought we were going to focus a lot more on growth, but that kind of came to us in the last quarter all kind of just by word-of-mouth. And where we kind of landed up – ended up here with RAC is, we're all kind of familiar with programmatic advertising. But we're not so familiar with the sponsored advertising. And from what we're seeing in Q3, that is an enormous market for us, and it's something that we want to focus very heavily in. We think that there's a lot of ability to scale this and build the sponsored posts with our creator community and give them a marketplace where they can access and be able to do that. And when it comes to comparing that to the competition, I don't believe the competition has anything like it. So I think it's going to be trailblazing a new path to revenue for creators when it comes to sponsored posts. The programmatic part is great. It's great for the creator economy, and it's doing very well as we've launched RAC, but the sponsored post is something that I'm very excited about for 2023. And then obviously when the bottom of the funnel that I speak about is the Locals portion; subscription and tipping, that's out there, but I don't think there's a company that does it as well as Locals. So the combination of Locals at the bottom of the funnel, the sponsored posts, which is very unique to this market and the programmatic should give us a real competitive edge against the competition when it comes to the creator economy. I hope that answers your question. 
Thomas Forte: Absolutely. All right. And then high level on the cloud computing front, should we think of this as something that's going to mature fast or slower than the ads e-commerce, the subscriptions of the tipping? How on a relative basis might we think about the development of the cloud computing?
Chris Pavlovski: So yes, we've made a lot of progress. We've tested a lot of stuff, obviously getting up TRUTH Social was an enormous feat. It demonstrates the capacity, the competence of the team to be able to really throw up private cloud and get that running. And we've made enormous progress and migrating a lot of Rumble onto there and now even Locals. So we're moving on all fronts of that. Obviously the growth that we saw was in the last quarter was significantly more than we anticipated internally. So it really stretches our systems. But we're on pace, and we love the growth because it just pushes us further and we're on pace of what we believe for a late 2023 beta launch of the public cloud for customers. So everything is on track on that front. And if anything, I believe that we're really pushing our systems and really kind of testing our systems in the last quarter, and obviously with the onboarding of TRUTH in a way that, we didn't quite foresee, which is an amazing thing to really set us up for 2023 and building out something real robust, real scalable, and really resilient.
Thomas Forte: Great. So as a follow-up to that one, Chris, you talked about in the past about the advantages of building a cloud computing business on essentially a video platform. Can you – for those who may not be familiar with what you said about that, can you repeat your comments? Because I do think it puts you at a real advantage long-term as you build your cloud computing business?
Chris Pavlovski: Yes. It is of my belief that when a video company is at an extreme advantage in the cloud business. When you look at Google Cloud, they have YouTube. When you look at Amazon, they bought Twitch and when you really kind of try to understand, why these are helpful to the cloud businesses. A video company pushes extreme amount of bandwidth, an enormous amount of encoding, and it has enormous amount of storage. This creates, obviously a real good vehicle to enter the market. So Rumble being a video company is like the perfect vehicle to enter the cloud market because we're going to have enormous capacity and storage, bandwidth, encoding, processing power, et cetera. And the more that you peer with ISPs, it drives down pricing and you're able to compete in a way that a typical company would not be able to compete.  So I believe having Rumble as the consumer vehicle is the real competitive advantage for us to enter this market, along with the fact that the market is really desiring something like Rumble, not just on the video side, but the cloud side. It is super apparent. We can all see it. That same sentiment that you're seeing at the Rumble consumer side, you're seeing with universities, you're seeing with potentially governments, state governments that are really looking for the opportunity to use the cloud that follows the same type of policies that Rumble does.
Thomas Forte: Excellent. And last question from me, and thanks again for taking on my questions and congrats on de-spacking. So I've been getting this question a lot and I think it's an interesting one. So what are the implications for Rumble of Elon Musk acquiring Twitter?
Chris Pavlovski: I think it's great. It's great for a couple of reasons. The first reason is that, Elon is pushing the same message that that Rumble is pushing. We're all trying to take the internet to a more free and open area. And anybody that does that in this ecosystem and waves that banner is a great thing for Rumble. We're not all alone on an island anymore. We have someone like Elon Musk doing a very similar thing where he is advocating for free speech, and that is a great thing for Rumble. It takes Rumble kind of being in an isolated position to a very open position with another large company in the ecosystem pushing the same thing. And more importantly, why this is great is that our creators now can actually benefit from sharing their content on a platform like Twitter without being censored. If that does happen and he pulls those restrictions, that's only – that should benefit Rumble in a major way by sharing their content there, getting more people to find their channels, having more access to another audience on a different platform to advertise and promote the content that they have. So I'm really excited about it. I think it helped a tremendous amount. 
Thomas Forte: Excellent. Thank you, Chris.
Chris Pavlovski: Thank you, Tom.
Operator: Thank you. Our next question comes from the line of Jason Helfstein from Oppenheimer. Please go ahead.
Jason Helfstein: Hey, guys. How are you? I wanted to expand a bit, appreciate the breakdown of revenue between advertising and sponsorship. I know you're not giving forward-looking guidance, but as we look forward, do we think kind of like that ratio kind of thinking about the $7.6 million versus the $1.3 million, that's kind of like the ratio you would expect as this kind of scale. And then when do you think we can start to begin to see almost like an advertiser testimonial on RAC where you can kind of understand the ROI that you're delivering for advertise? That's the first question. Then I have a follow-up. Thanks.
Brandon Alexandroff: Hey Jason, it's Brandon. I'll handle your first part of that and pass it off to Chris. I think it's a little early for us to give any guidance on that. We want to try and build some credibility here, so we can confidently speak more to that. So when we have a higher degree of confidence on how we're going to perform, I think we'll be able to get a better idea of the split. But clearly, we had a very successful quarter from an ad revenue perspective, and we look forward to continuing to focus on that as well as on some of the other items that are in the licensing and other section.
Chris Pavlovski: Hey, Jason. This is Chris. It's Chris speaking. I'll answer the second question with response to the advertisers. So one of the unique things about RAC, and I think at this point, probably – people don't really realize it yet, but the entire advertiser base on RAC for the most part is direct response. So all the advertisers that are going in there, they're looking to do an ROI, and our growth is based on direct response type of advertisements. And we believe that the – there's a lot of room to grow when it comes to direct response because all the advertisers putting in there, putting in ads are getting a return on investment pretty immediately. And this is what is extremely exciting to me and also validating on the fact the audience that is on Rumble has tremendous potential and tremendous value. So I just wanted to highlight the fact that the advertisers are for the most part direct response.
Jason Helfstein: Thanks. That's helpful color. And now that you guys have a very healthy balance sheet, can you help us think about kind of where the spending goes? I mean, we've obviously seen the content investments and we can kind of try to figure out breaking down the cost of revenue. But as you just think about kind of scaling up, particularly around R&D, sales and marketing, just broadly, how do we think about kind of some of the investments you're going to make over the next 12 to 18 months? Thank you.
Chris Pavlovski: This is Chris again. Thanks Jason. So when it comes to the investment for 2023, because we originally thought that we would have to put a lot of the capital to work in terms of growing the company, and we achieved such tremendous growth in Q3, we're now kind of a little more geared towards monetization for 2023 and product. So on the product side, I want to get the product to be really, really good. And we've heard our community very loud and clear on that. So product has become like an enormous part of what we'll be focusing on here this quarter and the next. And then obviously, the other component is going to – we believe the product will drive a lot of growth as we improve on the product. And then two, we really want to get our advertising and monetization at a point where we exceed the competition. We feel like that will give us a real competitive edge on the creator world if we can pay them more than the competition does. And I think that we have a real path to do that based on what we're seeing in 2023. So we're really going to put the gas pedal on RAC and really try to deliver to the creators a better monetization package than anything else out there.
Jason Helfstein: Thanks. Appreciate the color.
Chris Pavlovski: Thank you, Jason.
Operator: Ladies and gentlemen, we have reached the end of the question-and-answer session. And I would now like to turn the conference over to Chris Pavlovski, CEO for closing comments.
Chris Pavlovski: Thank you to everyone that has joined us today. I look forward to updating everyone on our fourth quarter full-year earnings call next year. Thank you, everyone.
Operator: Thank you. The conference of Rumble has now concluded. Thank you for your participation. You may now disconnect your lines.